Operator: Good day, and thank you for standing by. Welcome to the Eastman Kodak Fourth Quarter and Full-Year 2024 Earnings Call. At this time all participants’ are in a listen-only mode. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Anthony Redding. Please go ahead.
Anthony Redding: Thank you, and good afternoon, everyone. I am Anthony Redding, Chief Compliance Officer at Eastman Kodak Company. Welcome to Kodak's fourth quarter and full-year 2024 Earnings Call. At 4:15 p.m. this afternoon, Kodak filed its annual Form 10-K and issued its release on financial results for the fourth quarter and full-year 2024. You may access the presentation and webcast for today's call on our investor center at investor.kodak.com. During today's call, we will be making certain forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. We intend for these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. All forward-looking statements are based upon Kodak's expectations and various assumptions. Future events or results may differ from those anticipated or those expressed in the forward-looking statements. Important factors that could cause actual events or results to differ materially from these forward-looking statements include, among others, the risks, uncertainties and other factors described in more detail in Kodak's filings with the U.S. Securities and Exchange Commission from time to time. There may be other factors that may cause Kodak's actual results to differ materially from the forward-looking statements. All forward-looking statements attributable to Kodak or persons acting on its behalf only apply as of the date of this presentation and are expressly qualified in their entirety by the cautionary statements included or referenced in the presentation. Kodak undertakes no obligation to update or revise forward-looking statements to reflect events or circumstances that may arise after the date made or to reflect the occurrence of unanticipated events. In addition, the release just issued and the presentation provided contains certain measures that are deemed non-GAAP measures. Reconciliations to the most directly comparable GAAP measures have been provided with the release and within the presentation on our website in our Investor Center at investor.kodak.com. Speakers on today's call are Jim Continenza, Eastman Kodak's Executive Chairman and Chief Executive Officer; and David Bullwinkle, Chief Financial Officer and Senior Vice President of Eastman Kodak. We will not be holding a formal Q&A during today's call. As always, the Investor Relations team is available for follow-up. I will now turn the call over to Jim. Thank you.
Jim Continenza: Welcome, everyone, and thank you for joining the fourth quarter and full-year 2024 Investor Call. I'm excited again to talk about our continued execution of our long-term plan in spite of all the obstacles that continue in the world between war, supply issues, inflation, shipping, logistics and just the normal day-to-day turmoil. In 2024, we continued to invest in innovation. We also continued to increase our operational efficiencies. We were shutting unprofitable businesses and yet driving strong gross profit. Our core business continued to perform as expected. The highlights for the fourth quarter include $266 million in revenue, compared with $275 million for quarter four 2023. The rate of decline is slowing. We will continue to focus on smart revenue and innovation. One of the highlights is our gross profit at 19% for the fourth quarter 2024 compared with 17% for fourth quarter 2023. This again is a reflection of smart revenue. Highlights for the full-year. Consolidated revenues of $1.043 billion, compared with $1.117 billion for the full-year 2023. Part of the decline is Kodak's rationalization of its business. We continue to shed businesses that aren't core or part of our long-term strategy. Print has continued to decline, but has been offset somewhat by the increase in the revenues of AMC. Gross profit remains the same as last year at 19% in spite of, again, inflation, cost increase, transportation increase, uncertainty, and again, war around the world. We're able to maintain our gross profit consistent throughout the year by investing again in technologies and operational efficiencies. Some of the highlights for our AMC business include a couple of key factors, but I want to be really clear, AMC is critical and one of the key investments for our future. We are seeing continuing profit and revenue growth inside of AM&C, ongoing investment in growth initiatives such as we turned off our film plant and pretty much rebuilt it. That's a big step for us. We haven't done in over 30-years. We've increased additional capacity through the sensitizing line. So think of it this way. As the business runs through, we were bottlenecked in the final stages and that we're able to pick up some of that bottleneck by adding additional equipment and making the plant even more efficient and yet putting out higher production levels. We also keep investing in growth initiatives such as our cGMP pharma facility that will start production this year. Demand for various types of film continues, still film, motion picture, NDT, films just not film. We do various types of film continue to OEM-build and make our own products. We continue to see growth in demand in that area, and we're going to keep investing in that area. As I said earlier, we invested in expanding our capabilities and our capacity. And some really highlights -- and we just have to bring this up, go to our motion picture film, movies that were shot on Kodak film dominated the Oscars. A couple of examples are The Brutalist and Anora. We want to thank the directors and the studios and the fans for continuing supporting the use of film and understand the true benefits that it brings to such a great art. Moving on to highlight from our commercial Print division. We concluded the tariff petition process with the U.S. International Trade Commission, ITC. Our outcome established a level playing field, and that's all we are asking for in the plates business in the United States. This is a big win for our U.S. manufacturing and again sets a level playing field when other governments are interfering in business and subsidizing other companies and giving them an advantage inside the U.S. that put U.S. manufacturers out of business. We're the last standing plate manufacturer in the U.S., the other three are gone. And this tariff helps a level playing field be set. This is good for the United States workers. This is good for our printers, and this is good for America in general. Our PROSPER 7000 Turbo Press had a strong showing at the Hunkeler Innovation Days trade show. Our PROSPER 7000 Turbo is the world's fastest inkjet press machine, 400 meters per minute equates to 1,345 pages per minute. No one can reach those speeds and the quality levels that we hit. Some of the improvements in that 7000 is it's upgradable. You can buy a 6000. We get upgrade to a 7000. So for the first time for Kodak, you don't need to buy a brand new machine. You can upgrade this machine up to 35% more speed for a minimal cost of your investment. That makes your capital expenditure a much better long-term investment. You don't need to throw away 90% of the machine. You can simply make an upgrade to make it 35% faster. And lastly, or most important, we're now taking the 7000 Turbo and the PROSPER 520 and taking it from controlled introduction to controlled production, and we'll be releasing it commercially to various printers. In conclusion, something that's on everyone's mind, an update on Kodak's U.S. pension plan. The Board has approved the termination of the Kodak Retirement Income Plan known as KRIP, effective March 31, 2025. The process is underway to settle the pension obligations with participants and excess funds that will come back to the company. The company expects a significant portion of any reverted asset to be used to reduce long-term debt. And therefore, the annual cost of servicing belong term debt. You can read additional information in our Form 10-K filing. I will now turn it over to Dave Bullwinkle to discuss the fourth quarter and full year 2024 financial results.
David Bullwinkle: Thanks, Jim, and good afternoon. Today, the company filed its Form 10-K for the year ended December 31, 2024 with the Securities and Exchange Commission. As I always do, I recommend you read this filing in its entirety. Before I get into the details for the quarter and full-year, I would like to provide a brief update on the U.S. Kodak Retirement Income Plan or KRIP. In a Form 8-K filed with the SEC on November 25, 2024, we disclosed the Board of Directors of Eastman Kodak Company, instructed the committee with an authority to manage KRIP's assets to take appropriate actions to position KRIP for a potential termination. On January 21, 2025, Kodak's Board of Directors approved the termination of KRIP effective March 31, 2025. Following the determination and satisfaction of KRIP's liabilities, Kodak should be entitled to a reversion of any remaining KRIP assets, subject to tax obligations and the funding of a new qualified defined benefit retirement plan for active employees as a replacement for KRIP. The company expects a significant portion of any reverted assets to be used to reduce long-term debt in accordance with the terms of our debt agreements, and therefore, the annual cost of servicing net debt will decline. The remaining reversion proceeds will be utilized to further the execution of the company's long-term strategy. For further details on this topic, we direct you to the liquidity portion of the MD&A section of the Form 10-K filed with the SEC today. I will now share details on the full company results, operational EBITDA and cash flow for the fourth quarter and full-year of 2024. The company's results for 2024 were in line with our expectations and reflect the continued focus on executing against our priorities and long-term plan, including driving smart revenue and aligning with the right customers, implementing pricing rationalization and cost reductions, launching new products and investing in innovation and information technology systems to increase our operational efficiency. On slide seven, we reported revenues of $266 million for the fourth quarter of 2024, compared to $275 million in the prior year quarter, reflecting a decrease of $9 million or 3%. The rate of decline in revenue is slowing, which reflects our ongoing focus on driving smart revenue and strong profitability. We have also recognized improvements in gross profit for the fourth quarter of 2024, with an increase of $4 million or 9%, when compared to the prior year quarter. Gross profit for the current year quarter was unfavorably impacted by an inventory reserve adjustment of $4 million in the electrophotographic printing business. Our gross profit percentage was 19% in the fourth quarter of 2024, compared to 17% in the prior year quarter. This improvement is a result of the actions our team has taken to mitigate the effects of the global economy to make our operations more efficient and to realize the value of our offerings. These actions have established positive momentum as we continue to drive profitable growth going forward. Foreign exchange did not impact gross profit in the current year quarter. On a U.S. GAAP basis, we reported net income of $26 million for the fourth quarter of 2024, compared to net income of $5 million in the prior year quarter, an increase of $21 million. The 2024 and 2023 fourth quarter results include income of $3 million and expense of $2 million, respectively, related to noncash changes in workers' compensation and employee benefit reserves, an expense of $4 million and $5 million, respectively, related to asset impairments. Excluding these current and prior year quarter items, net income for 2024 was $27 million, compared to net income of $12 million in the prior-year quarter, reflecting an improvement of $15 million. Operational EBITDA for the quarter was $9 million, compared to $2 million in the prior year quarter, reflecting an increase of $7 million. Excluding the impact of noncash changes in workers' compensation and employee benefit reserves in both the current and prior year quarters, operational EBITDA increased by $2 million when compared to the prior year quarter. Foreign exchange had no impact on operational EBITDA in the current year quarter. Operational EBITDA for the fourth quarter of 2024 was favorably impacted by price increases improved operational efficiency from executing on cost controls and changes in employee benefit reserves, partially offset by an inventory reserve adjustment in our EPS business that I previously mentioned, higher aluminum costs and an increase in costs associated with certain litigation matters. Moving on to the company's fourth quarter cash performance presented on slide eight. The company had a year-end cash balance of $201 million, compared with $214 million at the end of the third quarter of 2024 for a decline of $13 million from the prior period. The decline reflects our continued CapEx investment in supporting Advanced Materials & Chemicals growth initiatives, along with building working capital in this business to allow us to supply customers as we make improvements in our manufacturing facilities. For the quarter ending December 31, 2024, cash provided by operating activities was $4 million, compared to $17 million in the prior year quarter, reflecting a decline of $13 million. Current quarter cash provided by operating activities was primarily driven by the use of cash from net earnings of $10 million and cash provided by balance sheet changes of $14 million, including a change in working capital of $15 million and a decrease in other liabilities of $7 million. Cash provided by working capital was driven by actions taken to mitigate inflation and rising costs, including cost-cutting efforts, improved inventory management and implementation of pricing actions. Cash used in investing activities was $17 million in both the current-year quarter and prior-year period, reflecting no change. This use primarily represents capital additions as the company invests in growth and increasing its manufacturing capacity in its Advanced Materials & Chemicals business. Cash used in financing activities was $2 million for both the current-year quarter and prior-year period, also reflecting no change. Restricted cash decreased by $8 million in the current-year quarter, compared to a $6 million decrease in the prior-year period, primarily driven by strategic efforts to reduce cash collateral and escrow requirements for certain company obligations and business arrangements. As presented on the bottom portion of the slide, excluding the changes in restricted cash for each period and the effects of foreign exchange, the quarter-over-quarter decrease in cash and cash equivalents for the three months ending December 31, 2024, was $11 million. On slide nine, for the full-year of 2024 the company had revenues of $1.043 billion, compared to $1.117 billion in the prior year for a decline of $74 million or 7%. Adjusting for the unfavorable impact of foreign exchange of $3 million, revenue declined by $71 million or 6% compared to the prior year. Our full-year revenue decline is impacted by revenue choices regarding our core business and portfolio of products and is in line with our expectations at this point in our long-term plan. Gross profit for 2024 declined $7 million or 3% when compared to the prior year. Foreign exchange did not impact gross profit in the current year. Gross profit for 2024 was unfavorably impacted by inventory reserve adjustments in the EPS business totaling $8 million. Gross profit percentage was 19% for the full year 2024, which is flat with the prior year. On a U.S. GAAP basis, we reported net income of $102 million for 2024 and compared to net income of $75 million in 2023, an improvement of $27 million or 36% from the prior year. 2024 and 2023 results include income of $2 million and $1 million, respectively, related to noncash changes in workers' compensation and employee benefit reserves and expense of $4 million and $5 million, respectively, related to asset impairments. The current year also includes a net gain on the sale of assets of $17 million. The 2023 results include expense of $2 million related to changes in the fair value of embedded derivative liabilities and $27 million for a loss on early extinguishment of debt resulting from a refinancing transaction, as well as $9 million for a refund from a non-U.S. governmental authority. Excluding the impact of these current and prior year items, the 2024 adjusted net income was $87 million, compared to income of $99 million in the prior year, reflecting a decline of $12 million or 12%. Operational EBITDA for 2024 was $26 million, compared to $45 million in 2023 for a decline of $19 million or 42% from the prior year. Excluding the impact of noncash changes in workers' compensation and employee benefit reserves in 2024 and 2023, operational EBITDA decreased by $20 million or 45% from the prior year. Foreign exchange did not impact operational EBITDA in the current year results. Operational EBITDA for 2024 was unfavorably impacted by lower volumes and higher aluminum costs EPS business inventory reserve adjustments of $8 million, higher costs associated with investments in information technology systems and organizational structure of $5 million and costs associated with the Drupa Trade Show and certain litigation matters totaling $10 million, partially offset by improved pricing, changes in employee benefit reserves and operational efficiencies. Moving on to the company's full-year cash performance presented on slide 10. The company ended 2024 with $201 million in cash and cash equivalents a decrease of $54 million from the December 31, 2023. The decrease in cash was primarily driven by capital expenditures to fund growth initiatives in our AM&C business, investments in technology systems and organizational structure and lower profitability from operations partially offset by improvements in working capital, primarily due to cash proceeds of $40 million from brand licensing received in January of 2024. During 2024, cash used in operating activities was $7 million. Current year cash used in operating activities was primarily driven by the use of cash from net earnings of $35 million and by cash flow from balance sheet changes of $28 million, including an improvement in working capital of $41 million and a decrease in other liabilities of $46 million. Within working capital, accounts payable decreased by $3 million, inventory increased by $7 million and accounts receivable decreased by $51 million. The decrease in accounts receivable is primarily due to cash proceeds of $40 million from brand licensing transactions received in January of 2024. Our team continues to focus on improving profitability and performance in working capital, which enhances the company's ability to generate cash. Cash from operating activities declined by $45 million from the prior year, driven by a $34 million year-over-year decrease in cash flow from net earnings and an $11 million decrease in cash flow from balance sheet changes including an improvement in working capital cash flows of $52 million, offset by a decrease in cash flows from liabilities excluding borrowings and trade payables of $67 million primarily related to the recording of deferred revenue for brand licensing arrangements in 2023. Cash used in investing activities was $39 million in the current year, an increase of $7 million when compared to the prior year, primarily due to an increase in capital additions of $24 million, partially offset by proceeds from the sale of assets of $17 million. Cash used in financing activities was $23 million in the current year, compared to cash provided by financing activities of $85 million in the prior year. This change was primarily driven by net proceeds of $90 million received from refinancing transactions in the prior year and $17 million related to the prepayment of the amended and restated term loan agreement made in 2024 from the proceeds received from the sale of assets within investing activities. Restricted cash at the end of the year was $100 million, a decrease of $22 million from December 31, 2023, primarily driven by strategic efforts to reduce cash collateral and escrow requirements for certain company obligations and business arrangements. As a reminder, restricted cash primarily represents cash collateral supporting the company's undiscounted actuarial workers' compensation obligations with the New York State Workers' Compensation Board and cash collateral required under letter of credit facility in addition to escrows to secure various ongoing obligations. We continue to focus on opportunities to reduce restrictions on cash. As presented on the bottom portion of the slide, excluding the changes in restricted cash for each period, the impact of net proceeds from our refinancing transaction and the receipt of a refund from a non-U.S. governmental authority in the prior year along with the current year effect of exchange rates on cash, year-over-year decrease in cash and cash equivalents was $45 million. As stated earlier in my remarks, the company's financial results are within our expectations at this point in our long-term strategy. We will continue to focus on maintaining the strength of the foundation we have worked hard to create, which provides us the opportunity to fund our ongoing operations, invest in our growth initiatives and convert our historical investments into returns for the long-term. Finally, as disclosed in our Form 10-K, we remain in compliance with all applicable financial covenants. I will now turn the discussion back to Jim. Thank you.
Jim Continenza: Thank you, Dave. In summary, we continue to manage through uncertainty. We are investing in growth and shutting non-profit and nonstrategic businesses. Seeing the growth in both revenue and profits in our AM&C business is very encouraging. Plates tariff will create a level playing field in the United States and certainty in the market. Accessing the excess assets in the company's pension fund will help delever the business, strengthening our balance sheet, allowing more opportunity to invest in growth businesses. Let's be clear, at Kodak, we care for our customers. We put them first. We also care for our employees. This is a great place to work and is a great place to be a customer and a partner. We do our best to innovate products that they ask for that help drive their business, make them more efficient, more profitable and grow their revenue. I'd like to thank our customers, our employees, our leadership team and our Board and investors for all of their loyalty and support. Thank you very much. Have a good night.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.
Q - :